Operator: Welcome to HF Sinclair Corporation and Holly Energy Partners Third Quarter 2023 Conference Call and Webcast.  Hosting the call today is Tim Go, Chief Executive Officer of HF Sinclair. He is joined by Atanas Atanasov, Chief Financial Officer; Steve Ledbetter, EVP of Commercial; Valerie Pompeia, EVP of Operations; and Matt Joyce, SVP of Lubricants and Specialities, along with John Harrison, Chief Financial Officer of Holly Energy Partners. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation [Operator Instructions]. Please note, this conference is being recorded.  It is now my pleasure to turn the floor over to Craig Biery, Vice President, Investor Relations. Craig, you may begin.
Craig Biery: Thank you, Christa. Good morning, everyone. And welcome to HF Sinclair Corporation and Holly Energy Partners third quarter 2023 earnings call. This morning, we issued a press release announcing results for the quarter ending September 30, 2023. If you would like a copy of the press releases, you may find them on our Web sites at hfsinclair.com and hollyenergy.com. Before we proceed with remarks, please note the Safe Harbor disclosure statement in today's press releases. In summary, such statements made regarding management expectations, judgments or predictions are forward-looking statements. These statements are intended to be covered under the Safe Harbor provisions of federal security laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings. The call also may include discussion of non-GAAP measures. Please see the earnings press releases for reconciliations to GAAP financial measures. Also, please note any time sensitive information provided on today's call may no longer be accurate at the time of any webcast replay or rereading of the transcript.  And with that, I'll turn the call over to Tim Go.
Tim Go: Good morning, I am pleased to report strong third quarter results, driven by solid execution of safe and reliable operations across our Refining, Lubricants, HEP and Marketing segments. We continue to progress our strategic initiatives of integrating and optimizing our portfolio, along with delivering strong cash return to shareholders. Today, we reported third quarter 2023 net income attributable to HF Sinclair shareholders of $791 million or $4.23 per diluted share. These results reflect special items that collectively increased net income by $31 million. Excluding these items, adjusted net income for the third quarter was $760 million or $4.06 per diluted share, compared to adjusted net income of $983 million or $4.58 per diluted share for the same period in 2022. Adjusted EBITDA for the third quarter was $1.2 billion, a 20% decrease compared to the third quarter of 2022. In our Refining segment, third quarter 2023 adjusted EBITDA contributed $1 billion compared to $1.4 billion in the same period last year. This decrease was primarily driven by lower refining margins in both the West and Mid-Con regions and lower refined product sales volumes due to higher maintenance activity. Operating expenses were $496 million in third quarter of 2023 versus the $475 million recorded in the same period last year as lower natural gas costs were offset by higher maintenance costs. Crude oil charge averaged 602,000 barrels per day in the third quarter of 2023 compared to 646,000 barrels per day in the third quarter of 2022. The decrease was primarily due to higher maintenance activity during the period. I am pleased to report that the turnaround in the third quarter at our Casper refinery was completed on time and on budget and at Tulsa, we are in the process of ramping up normal operations after the successful turnaround at that refinery. With all of our major turnarounds behind us for the year, we remain focused on executing our strategy to improve reliability and operating costs across our refining portfolio. In our Renewables segment, we reported adjusted EBITDA of positive $5 million, for the third quarter of 2023 compared to negative $14 million for the third quarter of 2022. Total sales volumes were 55,000,000 gallons for the third quarter of 2023 as compared to 52,000,000 gallons for the third quarter of 2022. We continue to make progress towards our target of achieving normalized run rates by the end of 2023 through improved reliability and feedstock optimization. Our Marketing segment reported EBITDA of $21 million for the third quarter of 2023 compared to $10 million in third quarter of 2022, and total branded fuel sales volumes set another quarterly record 398,000,000 gallons. Gross margin per gallon was $0.07 in the third quarter, supported by strong demand in our regions. During the quarter, we added 15 new branded sites and we expect to continue to grow our branded sites by 5% or more per year. Our Lubricants & Specialties Products segment reported EBITDA of $118 million for the third quarter of 2023 compared to EBITDA of $15 million for the third quarter of 2022. This increase was largely driven by a $30 million FIFO benefit from consumption of lower priced feedstock inventory for the third quarter of 2023 compared to a $44 million charge in the third quarter of 2022. Despite weakening base oil prices during the period, continued efforts to improve sales mix optimization across our finished products portfolio, resulted in strong earnings contribution from our lubricants business. HEP reported EBITDA of $94 million in the second quarter of 2023 compared to $66 million in the same period of last year. This increase was mainly driven by tariff increases that went into effect on July 1, 2023. On August 15, 2023, we entered into definitive merger agreement with HEP and we expect the proposed transaction to close in the fourth quarter of this year, subject to the satisfaction of closing conditions. During the third quarter, we announced and paid a regular quarterly dividend of $0.45 per share to stockholders totaling $84 million and spent $586 million on share repurchases. Year-to-date, as of September 30th, our total cash returned, including dividends and share repurchases is over $1.09 billion and we have reduced our share count by 8%. In closing, our third quarter results highlight the diversification of our portfolio and quality of our assets. Our strong cash return during the period demonstrates our continued commitment to our long term cash return strategy and long term payout ration, while maintaining an investment grade rating. Looking forward, we remain focused on executing our strategy of safe and reliable operations as we continue to integrate and optimize our assets across our portfolio. With that let me turn the call over to Atanas.
Atanas Atanasov: Thank you, Tim, and good morning, everyone. Let's begin by reviewing HF Sinclair's financial highlights. Net cash flows provided by operations for the third quarter of 2023 totaled $1.4 billion, which included $124 million of turnaround spend in the quarter. HF Sinclair's standalone capital expenditures totaled $75 million for the third quarter 2023. As of September 30, 2023, HF Sinclair's standalone liquidity stood at approximately $3.85 billion comprised of a cash balance of $2.2 billion along with our undrawn $1.65 billion unsecured credit facility. As of September 30, 2023, we have $1.7 billion of outstanding with a debt-to-cap ratio of 15%. In October 2023, we have repaid at maturity the $308 million aggregate principal amount of our 2.625% senior notes. HEP distributions received by HF Sinclair during the third quarter of '23 totaled $21 million. HF Sinclair owns 59.6 million HEP limited partner units, which represents 47% of HEP's outstanding LP units at a market value of approximately $1.25 billion as of last night's close. Now let's go through some guidance items. With respect to capital spending, last quarter, we lowered our full year 2023 guidance range to $900 million to [$1.60] billion on a consolidated basis. With the majority of our plant maintenance activity behind us, we expect to end up at the lower end of our capital spend range for 2023. For the fourth quarter of 2023, we expect to run between 590,000 to 620,000 barrels per day of crude oil in our Refining segment, which reflects plant maintenance at our Tulsa refinery during the period. Let me now turn the call over to John for an update on the HEP, John. 
John Harrison: Thanks, Atanas. HEP's third quarter 2023 net income attributable to Holly Energy Partners was $63 million compared to $42 million in the third quarter of 2022. Each period reflected non-recurring expenses that decreased net income by $4 million and $20 million respectively. Excluding these items, the year-over-year increase was primarily attributable to higher revenues associated with tariff increases that went into effect on July 1, 2023, which were partially offset by higher interest expense and higher G&A expenses during the third quarter of 2023. HEP’s third quarter 2023 adjusted EBITDA was $119 million compared to $110 million in the same period last year. The reconciliation table reflecting these adjustments can be found in HEP's press release. For the third quarter, HEP generated distributable cash flow of $78 million and we announced a distribution of $0.35 per LP unit, which is payable on November 10, 2023 to unit holders of record as of October 30, 2023. Capital expenditures during the third quarter were approximately $9 million, a rise of $6 million in maintenance, $2 million of reimbursable and $1 million of expansion CapEx. During the third quarter, we repaid $27 million of debt and ended the quarter with available liquidity of approximately $630 million. We're now ready to turn the call over to the operator for any questions.
Operator: [Operator Instructions] Our first question is coming from Manav Gupta from UBS.
Manav Gupta: My question is more broader. In the past, you have mentioned that you have seven refineries, but there's a hidden refinery within your system and you can run 50,000 to 60,000 barrels higher, and we have seen one of your competitors do it where they shut two assets and the throughput is higher. And please help us understand some of the progress that you're making in that direction so you can uncover this hidden refinery within your refining system. 
Tim Go: As you stated reliability and integration and commercial optimization are our main priorities right now, and that is to try to unlock that hidden refinery as you mentioned. Let me ask Valerie to talk a little bit about some of the reliability efforts that we have going on.
Valerie Pompeia: What we're doing is assessing the reliability of all of our assets, looking at capacity and then stepping back and looking at equipment. We have completed a full assessment of all of our sites and then within that starting to work execution plans by site. Those will unlock availability within each of our individual assets, which is a process that's been around in industry for a really long time. We're coupling that with some innovation and some tools that will help us improve our availability.
Tim Go: Manav, the other thing that I'll mention in addition to what Val just talked about was on previous calls, we've talked about the importance of executing our turnarounds well. And with this year's heavy turnaround load, I know there was a lot of concern about whether we could execute our turnarounds well. Val and her team have really done a fantastic job this year, executing those turnarounds on schedule on budget. And not only does that help in the actual execution of the turnaround but it helps us get to all of the planned work that we wanted to get done during the turnarounds to help us get that reliability improvement for the full cycle that's coming post the turnaround. And so that's kind of another benefit that we are getting from good, clean execution of the turnarounds as we hope that will allow us to again demonstrate better reliability through this cycle.
Manav Gupta: My quick follow-up here is on the lubes, even adjusting for that inventory, it was a much stronger quarter. Your vision was to make this business more on the specialty side. Help us to understand how those plans are progressing and also help us to understand some of the reasons you had such a strong quarter in 3Q in the lubes business?
Tim Go: Let me ask Matt to comment on the strength of our lubes business.
Matt Joyce: And I think where the team has done a really nice job is getting after operational excellence and focus on regional growth. We have been working on mixing the mix of our business and really looking to see where and how we can focus on higher value products and better understand the markets we serve where we have stickier solutions that are enabling our customers to be successful and therefore allowing us to be a bit more successful. And hats off to our petro Canada team in the US in particular, they have done a nice job of expanding their footprint and and getting into the US markets, which was part of our strategy. And that's got gained a lot of nice traction and we are seeing some real positive signs of growth there from a regional perspective.
Tim Go: Manav, I would just say, Matt and his team have done a really nice job of continuing to integrate the base oil business with the finished lubes and specialties business. We have talked about this on past earnings calls. But you just continue to see the inter-company sales of base oils to those finished lubes especially as businesses continue to increase, which is giving us more resiliency, more cushion for these falling base oil cracks that you are seeing in our reported HFS index. As those base oil cracks come down, the more integrated we are gives us more insulation and allows us to continue to generate the strong margins that you are seeing. So that's a structural improvement that Matt and his team are doing.
Operator: Your next question comes from the line of Ryan Todd from Piper Sandler.
Ryan Todd: Maybe I will follow-up on Manav's shout out there for the R&D business. Congrats on the underlying margin improvement there. Throughput and sales remain at relatively low utilization rate. Can you walk through where you are in the process of increasing utilization up to normalized levels, whether hydrogen sourcing is still limiting factor? How you are making progress on the process of extending time between catalyst turnarounds, improving product yield, et cetera? So maybe just a little more granularity on where you are in the process of getting that where you want it to be?
Tim Go: Ryan, we are pleased to show that renewable diesel business is profitable this quarter. We think we have turned the corner here. Let me ask, Steve Ledbetter, our commercial lead to talk about it.
Steve Ledbetter: We are also encouraged, as you are, by a positive quarter. There is a few things that helped us deliver the positive quarter. The first was really looking at our feedstock and optimizing the low CI acquisition and putting that into our sites, taking advantage of our pre-treatment unit. We had improved yield performance throughout the quarter. And then, to be honest, selling out into the markets during the highest part of the margin cycle of the quarter, as well as taking some OpEx levers and pulling those. Those are all part of the path forward. We were somewhat limited by hydrogen availability. But we have just finished coming out of a [CAT] change at Artesia and we took the opportunity to go improve our hydrogen availability at our large SMR there at Artesia. Let me hand it to Val on hydrogen availability and operational improvements.
Valerie Pompa: As we have stated before, we continue to invest in our hydrogen systems at all of our plants, particularly in Artesia. We have just completed the SMR. We made upgrades in our turnaround in the CCR and we are starting to see the benefits from those in our Renewables business as well as Refining.
Ryan Todd: And maybe, just shifting gears on the Refining side to the West Coast, real strong margins and strong cash flow and profitability there in the quarter. Can you talk about what you are seeing out there in terms of market dynamics? And if you look forward to the start-up of [TMX] next year, how will that, if at all, impact your ability to source advantaged crude at the Puget Sound refinery?
Steve Ledbetter: I think, we enjoyed the cracks in the margin environment in Q3 on the West Coast. We see some softness coming in particularly in gas, but it’s normal and and seasonal through this next quarter and the first quarter. But overall, we think that there is going to be a length in particularly with [RD] coming into the West Coast, but we think there will be a bit of short structure on both gas and jet, and we look to take advantage of that. As far as TMX coming on, when that happens, we think it will compress some of the differentials, particularly when they call for line fill temporarily. But as that line gets up and running reliably, we believe that it will put more barrels out on the water and actually give us a bit of an advantage for our refinery in the Pacific Northwest.
Tim Go: And Ryan, let me just follow-up and say, we believe our Refining portfolio continues to be a strategic advantage and competitive advantage for us, just in terms of the markets we serve and the demographics that we serve in our markets. The West Coast, in particular, I would say is a beneficiary of this integration effort that we have been focused on here over the last six to 12 months. We have a -- with the Sinclair and the legacy Holly frontier assets in the West, with the addition of Puget Sound, we really believe that that is a underappreciated portfolio that we are continuing to unlock the potential of and you are going to continue to see good results come out of the West.
Operator: Your next question comes from the line of Doug Leggate from Bank of America.
Unidentified Analyst: This is Clay on for Doug. So thanks very much for taking the question. My first question is on the Sinclair synergies. A $100 million was expected at the time of the deal, but now that you have got a few quarters under your belt, I am wondering how that opportunity set has evolved?
Tim Go: We were very pleased to be able to just capture that $100 million pretty quickly. In fact, it exceeded our timing expectations in terms of the ability for us to capture that. We see, as we have talked about on previous calls, much, much more opportunity to continue to improve and optimize those assets. But we broadened it now to really look across the entire portfolio, to look at Puget Sound in the mix, to look at our legacy assets in the mix. That's really, when I say our priorities are reliability across our portfolio and then integration and optimization across our portfolio, that's really code for we are looking for more synergies, we are looking for more optimization across the entire asset. We haven't gone out and said anything specific, like we did with the $100 million of synergies. But know that we are working that hard. Steve and his group have already talked a little bit about that. And what we are hoping you guys will be able to see is the results of that come out and not just our throughput but also our capture for both the West and the Mid-Con regions.
Unidentified Analyst: I guess we will keep watching with interest, my next question is more housekeeping. So on the quarter itself, CapEx looked at a touch low, wondering if there is anything to highlight there? And working capital seems to be a touch high, while some of your other peers are reporting some tailwinds. So just wondering if you could address those two things.
Atanas Atanasov: With respect to our capital spending, we are very pleased with how our CapEx program has gone, and this is just a function of completing our turnarounds on time and on budget. There is always some contingency built into our budget plans and this is -- we are just demonstrating our capital discipline that manifests and [indiscernible] variance. With respect to working capital, we saw some working capital tailwinds this quarter as we are coming out of these turnarounds and working out inventory. Rising prices also had a beneficial impact on our working capital. So with that in mind, you could see that tailwinds to our cash flow from operations.
Tim Go: Atanas mentioned in his prepared remarks, Clay, that we anticipate coming in on the low end of the CapEx range now. And so that is a result of, again, better execution and solid performance on our turnarounds.
Operator: Your next question comes from the line of Paul Cheng from Scotiabank.
Paul Cheng: I am trying to see that if you can help me to bridge the gap. I think the company is expecting that on the longer term basis that you will be able to improve your reliability so that a reasonable co-unit one on an annual basis may get to about 640, and at that time that you can see the unit cost go down to about 6 to 650. And if we look at in the third quarter, your unit cost in the Mid-Con is around 650 and your West is about 970. And you are running at 576,000 barrel per day, just by improving it to 640, that would [indiscernible] that by yourself doesn't seem that you will get you down to your target unit cost. So what are the initiatives or the core side that we should expect in order for us to maybe bridge the gap to go down to that level? That's the first question.
Tim Go: We believe reliability has two benefits, at least, as we continue to prioritize that. Not only does it get the denominator down, as you just kind of mentioned the math of higher throughput, we will get your OpEx per barrel down, but it also reduces your maintenance costs, which will be in the numerator, which will also get your OpEx down. Again, there is a lot of good effort going on in that area of reducing OpEx and improving reliability. And Val, do you have any color you want to provide on that?
Valerie Pompa: As we said earlier, we are very focused on each asset putting forward, reliability improvement plans. We are focused both on competitive spend, write dollars to buy down operating risk to improve reliability and making sure our money is going in the right places and improving reliability, which will ultimately get our utilization up. We are more challenged in the West and those facilities are primary focus for our efforts, particularly our Sinclair assets along with Woods Cross and PSR are all working improved structure on cost. But again, our biggest opportunity is reliable assets, produce more barrels, they are safer and we get a better outcome in performance and execution.
Paul Cheng: [Indiscernible] do you guys have a number that you can share with at the West unit cost on the longer term basis that you are targeting in?
Tim Go: No, we are not ready to give out any specific numbers or guidance in that area. But we do believe there is plenty of opportunities in the West that we are going after.
Paul Cheng: Second question is that as you are about to post HEP and roll it back up, once that you have done that, is it just business as usual and then you simplify your corporate structure or that that's going to see real actual operating benefit? Just want to see that whether we should expect some improvement or that is just say reducing the corporate structure capacity?
Atanas Atanasov: Your observation is correct. We are seeing opportunities for simplification and optimizing our portfolio. To give you just an example, what used to be at times complicated negotiation on contracts, inter-company contracts now is going to be a more simplified process, which would really help us to focus on efficiencies and commercial opportunities. So the simplification part of that benefit is going to be meaningful to us. And with respect to the corporate structure, you will get your run of the mills savings of essentially running one public company as opposed to having two public companies. And on top of that, we also see some synergies with respect to the debt as the growth gets rolled up at the DINO level. So all good outcomes for us.
Paul Cheng: Atanas, is there a number that you can share in terms of the operating synergies? Excluding, I mean, the debt, we can understand, but also like the financial lower interest, I mean, the real operating benefit. Is there a number you can share?
Atanas Atanasov: We will be in better position to shed more light on that after the close of the transaction.
Operator: Your next question comes from the line of Matthew Blair from TPH.
Matthew Blair: Do you have any early thoughts on refining capture in fourth quarter? I think Q3 was around 60%. It seems like the fourth quarter would include some pretty considerable tailwinds from things like wider WCS discounts, butane blending, lower rims and then it looks like lower refinery maintenance.
Steve Ledbetter: And I always appreciate the questions that always have the thesis included, in terms of the answer, and that was one of those. So we do see also a cleaner quarter ahead in Q4. We do think that the diffs, WCS in particular, TI dif will blow out and has already in the forward strip. And we have minimal planned maintenance, we are finishing up the Tulsa turnaround. So supportive structure and margin in terms of distillate diesel on jet, we’ll be moving gas around and we’re in max diesel and jet mode for Q4. So we think we have some opportunities to have a cleaner quarter ahead. But we are not giving explicit guidance on what that number is but we do see a good path ahead.
Tim Go: We've got some good tailwinds, as you mentioned, Matt. But seasonally, the fourth quarter always tends to be a little lower on capture too, just because margin is compressed. So that will be the offset to some of the tailwinds that we are seeing.
Matthew Blair: And then I am not sure if this has been addressed yet. But any thoughts on the potential for large scale refinery M&A from HF Sinclair here?
Tim Go: No, that question has been asked yet, Matt. What I would tell you is, we are focused first on closing HEP, it’s been a transaction that we have started earlier in the year and that we are laser focused on completing. As Atanas mentioned earlier, we believe that we will be able to close here before the end of the year. Our priorities are internally focused. We have talked about that before we are really looking to improve our internal reliability as well as our integration and optimization across our assets. So that's really where our main focus is. We don't think that the time right now is right to be looking at large M&A as you kind of described it, both from a market standpoint, we like to look counter cyclically. Right now, I think we are finding valuations [particularly] high but more importantly, from a internal perspective, we are really focused internally more than externally. Now I know there is some assets on the table that are starting to be marketed. We will take a look just like everyone else is, but it’s not a priority for us right now, Matt.
Operator: Your next question comes from the line of Roger Read from Wells Fargo Securities.
Roger Read: Just a couple things to catch up on. One, your comments about refining reliability getting that up. I am just curious if you were say over the last 12 to 24 months, what your available uptime has been and then maybe what the target is for available uptime, ex-turnarounds and all that as we think about a marker for where you've been and a marker for where you're trying to go? 
Tim Go: We don't provide a lot of the internal measures that we use. We have a lot of internal measures that we're tracking both at the refinery level as well as at the regional level. But we don't disclose that. We are making progress. We're feeling good about the progress that we're making. Val’s talked about that. We are seeing progress. I think one of the biggest ways that we're seeing progress is in just the improved safety and environmental performance of our assets, which we always believe is a leading indicator of how our reliability is doing as well and the rest of our business is doing. And I can tell you we're on pace to set another record safety year, both on a process safety standpoint and a personnel safety standpoint. So we feel good about the internal indicators, we're just not prepared to share any of those, Roger.
Roger Read: Well, if not absolute numbers, I mean, maybe a basis point improvement. I mean looking at 200, 300, 500, something along those lines, if I can dig a little deeper?.
Atanas Atanasov: I would just encourage you to stay tuned and you'll see graduated process -- progress along those lines, and we're focused on improving reliability.
Roger Read: Switching gears slightly back to the renewable diesel business. So you went through with one of the earlier questions, you know all the things that helped. But I was just curious if you thought year-over-year or quarter-to-quarter maybe how that broke down market factors relative to things you were able to do about changing the mix, keeping control of costs, stuff like that? Just what might have helped out on the lubes front?
Atanas Atanasov: One of the first things that comes to mind is early on as we were getting this business up and running was working off high price feedstock in a backwardated market. So the team has done a lot of good progress with respect to managing inventory and ensuring that we're focusing on using low CI feedstock. So that's number one. Number two would be improvements around catalyst performance and optimization. Number three, as a result of our turnarounds and the technical focus on the team is improving hydrogen availability. And so those would be kind of the three things that come to mind and I could ask Steve or Val to add additional color.
Steve Ledbetter: No, I think you're right. I mean we're peeling this apart to make sure that we can make it the most profitable business it can be. In our current configuration, we like to remind people that two of our facilities are co-located. And so hydrogen availability is a keen focus. But beyond that we've started to pull levers, as Atanas mentioned, in terms of advantaged low CI feedstock as part of that driving pathways are very important to get that full value and we’re hyper focused on that, catalyst optimization, OpEx levers in terms of waste and then really getting our molecules integrated across our value chain is another aspect that we see a lot of value coming forward. So we've demonstrated that in Q3 we can be profitable with not hitting our normalized run rate. We still see the path to getting there by the end of the year. And all of those focus areas we believe and expect to have a profitable Renewables business next year.
Tim Go: And Roger, I would just draw an analogy to the lubes business. We spent a lot of resources and a lot of effort to turn that business around, I think over the last two and half years. We have been at well above mid cycle performance for our lubes business. That same type of effort, that same type of focus is what we have got pouring into our renewable diesel business right now. And we believe that we will be successful in getting that business turned around and performing the way we want just like we have our lubes business performing the way we want right now.
Operator: Your next question comes from the line of Jason Gabelman from TD Cowen.
Jason Gabelman: I wanted to first hit on the CAT, the financial framework as you get close to the closing of the HEP transaction. It looks like on a consolidated basis, you are holding about $1 billion of of net debt. Is that the right number for the company to hold on a consolidated basis? And then how do you think about buybacks as you are able to get back into the market following the HEP deal close?
Atanas Atanasov: The way we think with respect to our capital structure and debt in particular is in terms of net leverage. And the net leverage target that we have publicly stated has been one time net leverage. As you can see, we are far below that right now and we are very pleased. Given where capital structure is today, our first and foremost priority is shareholder return, both in terms of buybacks and dividends and we will continue with that mindset. With respect to anything around the debt, I think we are very much -- we are very pleased with where our debt is and shareholder return is our priority.
Jason Gabelman: And then my other question is just looking at the indicators that you posted for October. It seems like the premiums in the West relative to Mid-Con have come in after a pretty good run of pricing premiums. How much of that is seasonally driven? And is there any structural components as maybe there were a couple of assets, I guess, in the Rockies in particular offline for the better part of the past couple of years and now they're back? If you could answer that, that would be great. And just one more, a clarification, I don't actually think you provided the working capital number in terms of cash inflow. If you could provide that, that would be great. Thanks.
Atanas Atanasov: Let's start with the last part as refresher. In terms of working capital, we saw a tailwind to the tune of $500 million for the third quarter.
Steve Ledbetter: And then just to answer the structure margin environment on the West Coast, we don't see anything necessarily structurally other than a good portion of diesel, particularly RD coming to those markets. And therefore, we think there will be length of diesel and to be honest an opportunity in gas as well as jet. But we don't think there is anything materially structural and we think that what you are seeing right now is seasonal normal patterns.
Tim Go: I would just jump in, Jason. We typically see seasonal weakness as the tourism and the driving season kind of comes to a close, we're not seeing anything unusual at this point. What we are seeing is pretty strong jet premiums right now. And I would tell you for the third quarter, we had record jet production and record jet sales that helped boost capture in both the Mid-Con and in the West regions, and we're seeing that continue here in the fourth quarter. So we will continue to look for those types of opportunities to continue to just optimize our portfolio.
Operator: Your next question comes from the line of Joe Laetsch from Morgan Stanley.
Joe Laetsch: So I just had a follow up on RD. I was just hoping to get your outlook for RD margins here, just given the industry capacity coming online next year. We've seen RINs fall, we've also seen some of the feedstock costs decline, as well as an offset. So just hoping to get your thoughts on the credit side as well as the feedstock side here please.
Steve Ledbetter: Yes, I think you hit it right. With the RVO release and the view of additional capacity coming on, there's been weakness in both RIN value and LCFS. We think that that will adjust sometime. There's been some announcements of some of the larger production coming on, some delays there. And so you've seen some of that change the overall margin and pricing structure, but we think that's temporary. That has created a bit of reduction in terms of the feedstock pricing near term and we'll take advantage of that. But we think that will normal out and ultimately we think that the RVO will adjust. We don't know when but we do think that when it does adjust, it will create additional support in terms of the RIN value, and we continue to try to find other markets to take our products to. And we think that there are opportunities not only in terms of the markets that have LCFS, but we're also finding some opportunities where we can match proximity to our barrels and put them into those things and into those channels profitable. So longer term outlook, we're pretty comfortable with what we're doing and unlocking and untapping the complete value chain in our RD business.
Tim Go: And you saw, Joe, that RD margins tightened here in the third quarter, and yet our gross margin and net margins actually increased. And that's testament to what the team is doing to try to improve our -- just our base business. 
Operator: And we have no further questions in the queue at this time. I will turn the call back over to Tim for closing remarks.
Tim Go: Thank you, Christa. Let me recap by saying that in the third quarter we executed our turnarounds on time and on budget. We delivered above mid-cycle profits in our refining segment, lubricants and specialty segment and marketing segment, and we returned $669 million to our shareholders for a total of $1.2 billion of shareholder returns so far this year. These strong results are a testament to the competitive advantages of our business portfolio and the hard work of our employees to execute our strategies and deliver on these results. Our priorities remain the same; to improve our reliability, number one; to integrate and optimize our new portfolio of assets, number two; and to return excess cash to our shareholders, number three. Thank you for joining our call. Have a great day and Go Rangers.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines. at this time, and have a wonderful day.